Operator: Good evening, ladies and gentlemen. And thank you for standing by. Welcome to the RF Micro Devices Q4 2010 Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions). This conference is being recorded today, Tuesday, April 27, 2010. I would now like to turn the conference over to Doug DeLieto, Vice President, Investor Relations, RFMD. Please go ahead, sir.
Doug DeLieto: Thanks very much, Mitch. Hello, everyone, and welcome to our conference call at 4:00 p.m. today we issued a press release. If anyone listening did not receive a copy of the release, please call Samantha Alphonso at the Financial Relations Board at 212-827-3746, Sam will fax a copy to you and verify that you are on our distribution list. In the meantime, the release is also available on our website, rfmd.com under the heading Investors. At this time, I want to remind our audience that this call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from managements current expectations, we encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as our most recent SEC filings for a complete description. In today’s release and on today’s call we provide both GAAP and non-GAAP financial measure, we provide supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or unusual item that may obscure trends in our underlying performance. During our call our comments and comparisons to income statement items will be based primarily on non-GAAP results. For complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today available on our corporate website, rfmd.com under Investors. Similarly for an explanation of how RFMD calculate return on invested capital or ROIC, please refer to today’s earnings release. In fairness to all listeners, we ask that participants please limit themselves to one question and a follow up. After each person in the queue has received a turn, we’ll give participants an opportunity to ask a second question. With me today on the line are Bob Bruggeworth, President and CEO; Dean Priddy, Chief Financial Officer; Eric Creviston, President of our Cellular Products Group; and Bob Van Buskirk, President of our Multi-Market Products Group, as well as, other members of RFMD management team. And with that, I’ll turn the call over to Bob Bruggeworth.
Bob Bruggeworth: Thank you, Doug. And welcome, everyone. Earlier today we released our fiscal 2010 fourth quarter results. I’m pleased to report the RFMD team achieved another quarter of outstanding execution highlighted by year-over-year and sequential improvements in revenue, margin, EPS and cash flow. RFMD’s global work force continued to propel RFMD on an exciting new trajectory and we achieved record performances across key financial metrics. By focusing sharply on our core competencies in RF components and compound semiconductor technology, we’ve made substantial progress on our strategic initiatives, namely product leadership, diversification and operation excellence. RFMD surpassed typical March seasonality this year and grew 4% sequentially to $260.8 million driven by market share gains and industry leading new products. On a year-over-year basis, quarterly revenue surged 51%. On record revenue for March quarter, RFMD delivered $0.16 in EPS. We generated record free cash flow and we had (inaudible) the quarter with $257 million in cash and equivalents. Our performance was highlighted by strength in 3G devices and share gains in Asia and a continued adoption of RFMD’s products and technologies and SmartEnergy, point-to-point radio, CATV and other high value markets. On today’s call, we’ll discuss how we’re extending our product leadership, diversifying our revenue and improving upon our operational excellence to become an even stronger and more profitable RFMD. Let’s begin with product leadership. In cellular, RFMD offers the industries largest portfolio of power amplifiers and switch based products and RFMD continues to invest more R&D dollars than any peer company in pursuit of the cellular front-end. In fiscal 2010, CPG had a record year of new product introductions releasing40 new product that delivered on our goals of diversification and product leadership. We also announced our PowerSmart Power Platforms, a revolutionary new product category delivering the industries highest performance, lowest cost and smaller size multimode, multi-band front-end solution. We currently expect our PowerSmart platforms to ramp in production later this fiscal year.. CPG is quickly tailoring customer specific derivative products from new product platforms getting to market sooner and capturing reference designed faster. We are growing our share on reference designs and our new product platforms coupled with our increased R&D velocity are two reasons why. In MPG, we’re continuing to rollout breakthrough Gallium Nitride technology and products, that deliver performance that can alter the performance landscape for power products across multiple industries. There are multiple high-value global markets that can benefit from RFMD’s gallium technology. Opportunities for worldwide deployment include cable infrastructure, military communications, private mobilized radio, emergency radio and military and civil radar applications. Our gallium based broadband transmission product enable enhanced bandwidth driven services for CATV operators and their subscribers. Our new product provide option for cable operators to seamlessly upgrade their network infrastructure, enhance their network performance and provide increase bandwidth for growing video and data services. All of this demonstrated performance improvement comes with a potential network energy savings of 20% or more. Turning to diversification, in the March quarter, we captured key programs in support of leading SmartEnergy or automated meter infrastructure customers. Our SmartEnergy revenue has approximately doubled each year for the past three years and we expect annual revenue to nearly double in fiscal 2011 with margins accretive to RFMD’s corporate average. We are capitalizing on SmartEnergy opportunities in the diversification, it brings with both cellular and ISM bands. In Europe, the trends toward networks that utilize existing cellular networks. In North America these networks will likely be built on proprietary unlicensed standards. Either way RFMD benefits. Elsewhere in CPG, our product leadership is driving opportunities for diversification, with our baseband channel partners. We have major opportunities with MediaTek, Qualcomm, ST-Ericsson and Infineon, Broadcom, Marvell and others. Our strategy of developing full RF platforms consisting of RF power amplifiers, switch base front-end modules and RF specific power management components is just beginning to bear fruit. This strategy enables rapid and cost effective platform development for our channel partners, while also accommodating multiple handset derivatives at our customers. This is the very first combination of product leadership and diversification. Finally, let’s look at operational excellence. In the past year, RFMD has delivered on four consecutive quarters of year-over-year growth, a sharp increase in profitability and record free cash flow. We have effectively reset our gross margin profile to multiple points above prior year levels and we drove steady increases in return on invested capital or ROIC achieving 31% for the fiscal year and pushing 40% in the March quarter. We achieved our full year target operating model in our core business. Using record financial performance as a barometer for operational performance, the RFMD team is clearly delivering on our commitment to operational excellence. Looking forward, we expect return on invested capital well above our cost of capital driven by increased utilization of our factories, coupled with the continued roll out of the die-shrink technology and other strategic initiatives. We see continued improvement in our quality of earnings as the year progresses, as we move to a richer product mix. In closing, we created a more diversified RFMD that’s leveraging our core competitive strength and our industry leading scale into emerging applications with higher margin profiles and often longer product cycles. And with that, I’ll turn it over to Dean.
Dean Priddy: Thank, Bob. And good afternoon, everyone. First a quick reminder that income statement results comparisons will be non-GAAP. RFMD business model continues to deliver strong operating results and superior capital efficiency. I’m very pleased to report that we delivered record financial performances on several key metrics and inherently exceeded the updated financial outlook we released on March 8th. Revenue for the March quarter was $260.8 million, up 81.4% year-over-year and 4.2% sequentially. RFMD’s executing on its diversification strategy, sales to our largest customers will be reported at 65% of total revenue for the year. However, we exited the year under 50%. Sales to all other customers in the March quarter grew 17.3% sequentially, that is 17.3% sequential growth over the prior quarter from all other customers. Our cellular products group delivered another very strong quarter, through product leadership and market share gains. CPG grew revenue sequentially even as our sales to our largest customer declined. Sales into smartphones and 3G devices grew sequentially and jumped 75% year-over-year. Our diversification efforts were supported by robust sales into Asia. Our product leadership is something that take market share throughout Asia across a wide range of customers and air standards. MPG posted solid sequential and year-over-year revenue growth as we continue to see a broad base recovery in the markets they serve. Gross profit was $103.4 million yielding a 120 basis point sequential expansion in gross margin to 39.6%. RFMD’s improved margin reflect customer and product diversification and continued operational excellence. Operating expenses were $55.7 million, with G&A of $9.5 million, sales and marketing of $12.2 million and research and development of $34.1 million. The increase in operating expense was primarily attributable to an increase in R&D expenses and employee-related expenses. Operating income was a record $47.7 million, or 18.3% of revenues. This is the third straight quarter of record operating income. Non-cash share based compensation expense, which is excluded for non-GAAP results totaled approximately $5 million of which approximately $1 million was in cost of goods sold. RFMD’s core business defined as RFMD’s total business left the impact of cellular transceivers saw gross margin and operating margin of approximately 42% and 17%, respectively. Our core business is growing profitably and continues to support our medium and longer term expectations for strong growth in earnings per share. Other expense was $1.2 million and cash taxes were $2.7 million. Non-GAAP net income for the December quarter was $43.5 million, or $0.16 per diluted share based on $276 million shares using the if-converted method. Now going to the balance sheet, cash flow from operations was a strong $57.6 million, total cash, cash equivalents, short-term investments and trading security investments was $256.9 million. RFMD currently expect to become net cash positive during this fiscal year. Free cash flow totaled $55.1 million in the March quarter and $177.2 million for the full fiscal year. Both of these numbers are records for RFMD. RFMD’s inventory was $122.5 million with $5.3 turns both consistent with last quarter. Net PP&E was $247 million, compared to $262 million last quarter, capital expenditures during the quarter was $2.6 million with depreciation of $17 million and intangible amortization of $4.7 million. RFMD’s return on invested capital improved to 40.1% in the March quarter, from up from 34.% in the December quarter. Now turning to our long-term financial model. Our long-term financial based on our performance over the past four quarters and the outlook we have for the future, we’re increasing to 42% gross margin and 17% operating margin. Again we’re increasing our long-term financial model to 42% gross margins and 17% operating margin. Similar to fiscal 2010 please keep in mind this model is targeted for a full fiscal year and does not represent a filling for any given quarter. Now some comments to assist you on modeling RFMD’s financial performance. Demand was consistently strong for both CPG and MPG in that March quarter and that’s strength has continued into June. RFMD is currently fully booked for sequential revenue growth in the June quarter and we expect June quarterly gross margin to be consistent with March quarterly results. RFMD currently expects transceiver revenue to increase sequentially in the June quarter and begin a ramp down in the September quarter. RFMD currently expected fiscal 2011 revenue and non-GAAP earnings per share to increase over fiscal 2010 results. RFMD currently expect 2011 free cash flow to be consistent with fiscal 2010 levels and we expect to become net cash positive during fiscal year 2011. RFMD currently expects capital expenditures to be 2% to 3% of sales in FY ‘11. And finally, RFMD currently expects moderate year-over-year operating expense growth in fiscal ‘11 and cash taxes of approximately $6 to $7 million per quarter reflecting the companies improved outlook for revenue growth and profitability. And with that, we’ll open your call up for questions.
Operator: Thank you, sir. (Operator Instructions). And our first question comes from line of Harsh Kumar with Morgan Keegan. Go ahead, please. Mr. Kumar, please make sure that your phone is not unmute.
Harsh Kumar – Morgan Keegan: Hey, guys. First of all congratulations on very strong quarterly numbers and of course, very strong guidance. Dean and Bob, wondering if you guys, can give some more color on the guidance, perhaps should we look for seasonal, better than seasonal, any kind of color you can help provide to shed it.
Bob Bruggeworth: Harsh, thank you. I think it’ll be good for both Bob and Eric to kind of comment on their businesses seasonality, it’s a little bit different themselves. Let Eric go first.
Eric Creviston: Yeah. Thanks, Harsh. Referring to the cellular handset market, I guess, when it comes to seasonality, I think, we’ve been saying for a couple of quarters that, normal seasonality is a thing of the past, so to speak, 2009 clearly was a rebuilding year and now has China becomes a part of the global market, I think, we’re seeing the seasonality trends change significantly. All the numbers aren’t in for March yet, of course, but we think that the market was clearly down less than seasonal, at least and actually maybe as much as flat in March over December. So we had a – just had a great backdrop, good strong market there. So when you take that and then look into June and say, what, are it going to be up seasonal, I’m not sure what seasonal is at June, such a strong March. I think, we believe our customers are expecting now to see at least a flat June over March. But I wouldn’t expect it to be up as much as seasonally as you would see in a normal year when March is down of course over December.
Bob Van Buskirk: Hi. This is Bob Van Buskirk. It might be helpful to kind of reset where MPG has come from regarding our growth expectation and our seasonal perspective. As we said in the prepared comments, we have grown year-over-year and just as a note that’s actually the first quarter in the fiscal year where we grew year-over-year on a quarterly basis. We also MPG had sequentially growth in each of the quarters in the fiscal year as our RFMD did in fact as a company. And that the employees our second half of our fiscal year on MPG actually grew substantially over our first half. So that would indicate that the first half of fiscal year for us, should be the lowest half of the two halves of the year, but frankly, we’re off to a pretty good start. Our bookings as we indicated have been strong, where we stand today in term of in-house orders and shipments, is actually substantially ahead of where we typically are at this point in the June quarter. So I feel like as we said, sequential growth would indicate that we’re off to a good start for fiscal year.
Harsh Kumar – Morgan Keegan: Hey, guys. Appreciate it. And I’ll, on the follow-up, just house keeping thing before I move to my follow-up. Can you give us the breakdown between CPG and MPG?
Bob Bruggeworth: Yeah. Harsh, it was roughly 80% CPG and 20% MPG.
Harsh Kumar – Morgan Keegan: And last question before I get back in the queue for maybe Bob. Bob from where you sit, that would be Bob Bruggeworth, from where you sit and look at the chain in the handset market. How do you see the health of the cell market overall, if you can break it down between low, mid and kind of the smartphone market, if there’s anyone that’s outperforming for your company relative to the others?
Bob Bruggeworth: Thanks, Harsh. I’ll go and take a high level and I think, Eric will get a little bit more detail. I mean, as Eric has already commented, we do believe the handset market is very healthy. It’s clear to us, it was not off but normal seasonality and as Eric commented we’ll wait until everybody else reports in. Clearly as we commented, we saw strong growth in Asia. Clearly what we’re doing with China and MediaTek. I think is a lot stronger than possibly many people realize and we’re doing quite well there. We talked a lot about Korea across all platforms whether it’s low, mid or high tier or smartphones, doing extremely well there as well. But I’ll let Eric go and give you a little more input into this, what we’re seeing from the different segments.
Eric Creviston: I guess, yeah, when you asked about the health of the cellular market. It certainly seems quite healthy right now, as I mentioned already in the demand in the March quarter and it really is across most all segment. I think in March at least we saw that the edge is the only segment that might have been down something within typical seasonal number, although they were up less than that and excuse me, were down less than that. And TD-SCDMA for example, definitely grew quite healthy, GPRS, we think actually probably grew March over December. So we’re off to a good start across 2G and 3G and looking forward into the year, I think, it’s just going to be a very exciting year. You’ve got, if you just look at, all the announcements and all the public press out there on what’s going on with Microsoft and Google and Intel and Dell and HP, in addition to all of our standard OEM customers. You’re just seeing a tremendous amount of investment in space that’s driving very compelling new solutions and it’s driving replacement rates to go up and I think, that’s providing a great unit market this year.
Harsh Kumar – Morgan Keegan: Great guys. Thank you very much and congratulations again.
Bob Bruggeworth: Thank you, Harsh.
Eric Creviston: Thanks Harsh.
Operator: Thank you. And our next question comes from the line of Scott Searle with Merriman Curhan Ford. Go ahead, please.
Scott Searle – Merriman Curhan Ford: Hey. Good afternoon, guy. I apologies, you may have covered some of this ground, I dropped off the call for a second. But in terms of MPG, when do you expect to get to peak revenue levels, if you can provide some color on that one? And also from a signaling conditioning standpoint, could you provide a little bit more color in terms of how that’s ramping up and when you expect that to be a meaningful contributor over the next couple of quarters? Thanks.
Bob Van Buskirk: Hi, Scott. This is Bob Van Buskirk. Well, I certainly hope our peak is in front of us. Because that’s how we drive the business and I’m not -- I would expect that maybe the way to answer your question is, I do believe as we go through the year, if the trends that we see today and the recovery that we see in our end markets, those were to hold. I think we can get back to the peak revenue levels that we saw in our fiscal ‘09 timeframe. If you recall our markets went into the downturn a little similar and it come -- and recovered a little slower. I think they turned the corner in a very broad based fashion right now. But, I think, we do have a shot in this fiscal year to approach those peak levels that we got to in FY ‘09.
Scott Searle – Merriman Curhan Ford: Okay. So at some point over the next three to four quarter, you think you’ll get back up to that revenue run rate, which was approaching about $0.25 billion on annualize basis?
Bob Van Buskirk: I think that’s a reasonable target for us. We represent -- MPG represents a slightly higher percentage of the core business than we do the total company. And we have talked about that. We expect CPG to be roughly 25%, let’s say of the core in FY ‘11. So we are expecting to grow faster than CPG, but then again, that’s what we’re supposed to do.
Eric Creviston: Yeah. And this is Eric. I’ll take the question about the switch and signaling conditioning product line. One thing I want to clarify as well, in the March quarter, we actually grew sequentially with each of our product categories. So that was 2G power amplifiers, 3G power amplifiers and additionally switch and signal conditioning. So all three of those product segment actually grew for us sequentially in March. Switch and signaling conditioning is still relatively small part of the portfolio and we’ll remain after a couple more quarters. I think, at the end of the fiscal year, we are pretty excited about (inaudible) design win activity. So it’s going to drive growth as we go into FY ‘12.
Scott Searle – Merriman Curhan Ford: Thanks. Nice quarter.
Bob Bruggeworth: Thank you.
Eric Creviston: Thanks Scott.
Operator: Thank you. And our next question comes from line of Edward Snyder with Charter Equity Research. Go ahead, please.
Edward Snyder – Charter Equity Research: Thanks very much. First housekeeping question, Dean, I just want to be clear, I heard you right. You said that without the transceiver business, this last quarter you would have been at 42% and 17% and that the new targets are the same and that you expect transceivers to increase sequentially in the June period, but gross margins are guided to be flat. So, if transceivers pick up a bit, is it just not enough to impact the gross margin or is there something offsetting that?
Dean Priddy: Ed, if you recall the transceiver business is dilutive to overall corporate average. So without the effect of transceivers, yes, we did have 42% gross margin, 17% operating margin. And we said that, we expected transceiver revenue to pick up a bit. I don’t think we’re talking any of large percentage increase into the June quarter. However, again, the transceiver business is a bit dilutive to overall corporate gross margin.
Edward Snyder – Charter Equity Research: Okay. Just not growing enough to impact your topline or you’re offsetting it would more efficiency, better off, [make] more MPG next quarter?
Dean Priddy: We can have other segments of our business growing faster than transceivers, it’s just a little too early to predict the exact mix. When we get to the end of the quarter, obviously, we’ll know how things end up.
Edward Snyder – Charter Equity Research: So and we get to the end of the quarter we’ll extend it out for another six months?
Dean Priddy: Maybe.
Edward Snyder – Charter Equity Research: Come on. How many years have we been talking about this now? You go back two years now, it was six months then, too, you guys get…
Dean Priddy: No. We weren’t saying six months. Others were two years ago.
Edward Snyder – Charter Equity Research: Okay.
Bob Bruggeworth: We still said it has lags.
Edward Snyder – Charter Equity Research: You don’t (inaudible) over the last year, okay.
Bob Bruggeworth: That’s correct.
Edward Snyder – Charter Equity Research: Okay. Just wanted to be sure, I understood that more different.
Bob Bruggeworth: But we do, at this point time, we are, I think, consistent with what we said last quarter, which is a right time will begin in September and there’ll be some significant roll off in September then by December it could be as low as 10% of company revenues already by December of this year.
Edward Snyder – Charter Equity Research: So your MRP suggest that or you’re just assuming based on historic life cycle of these products?
Bob Bruggeworth: No. Based on customer forecast.
Edward Snyder – Charter Equity Research: Okay. So, Nokia, and then my real question, of course is that, you did well in China, lot’s of growth there offsetting some of your declining Nokia, which, is actually a good thing, given your high mix to them. How much more do you have to gain in China. You’ve gone great guns there, can keep going forever, when should we start modeling things to slowdown?
Bob Bruggeworth: Yeah. It’s a – you’re right. It has been a great, a great execution story so far. I think, our product leadership there is really set us apart and we’re not stopping yet by any means. We have continued flow of new products coming out at a record pace that market. We think we’re at roughly 25%. Again all of the numbers aren’t in right now. So, we’re assuming roughly 25% of that market now. So, we think, we’ve at least another 10 points to gain this year.
Edward Snyder – Charter Equity Research: And then finally, Eric, Nokia complained on the call that their costs were dropping as fast as prices which led to the debacle on the call and subsequent conversations suggest that the supply chain, which is basically holding prices pretty steady, because capacity is relatively limited. What’s your end of that story, they basically told us that’s not necessarily true because they set prices every year and they know what the curve is. Is that just hand waving or are you seeing more firm pricing or let’s put this way, less price erosion than you normally would?
Eric Creviston: Yeah. So this will be general industry comment not just to client Nokia, but we do expect price erosion to be significantly less than normal this year for those reasons. We’re looking at a very good demand year, supply right now is on the tight side, we are managing through things. But the way it’s looking with all of the challenges in terms of meeting technical requirements and so forth we don’t see a reason why the price erosion should be significant this year.
Edward Snyder – Charter Equity Research: Great. Thanks, guys.
Dean Priddy: Thanks, Ed.
Eric Creviston: Thanks, Ed.
Operator: Thank you. And our next question comes from the line of Jaeson Schmidt with Craig-Hallum. Go ahead, please.
Jaeson Schmidt – Craig-Hallum: Hey, guy. Great quarter. I’m wondering, can you give the breakdown between 2G and 3G?
Bob Bruggeworth: So, in our cellular business in the front-end space. To taking transceivers out of it, looking at our core business, it’s still roughly 50-50 split.
Jaeson Schmidt – Craig-Hallum: Okay.
Bob Bruggeworth: Again, they were both up sequentially in March. 3G was up more sequentially than 2Q but not enough to really change the overall split. It’s still roughly 50-50.
Jaeson Schmidt – Craig-Hallum: Okay. Do you see that mix consisting throughout this year or changing?
Bob Bruggeworth: And there is no question that the opportunity for 3G are outpacing the market in terms of unit growth on the percentage basis and also dollar content. But 3G is still huge-huge market and with switch and signaling conditioning product line coming in. that’s going to address across both primarily in the 3G side and the multimode size. So I would expect if anything the mix will grow, more towards 3G going forward.
Jaeson Schmidt – Craig-Hallum: Okay. And quick follow-up. How is your visibility improved, kind of looking towards the back half of fiscal 2011?
Bob Bruggeworth: As far as, I’ll talk a little bit total company and Bob or Eric would like to join in, feel free to add. Visibility actually for last several quarters has remained pretty good for us. And most of our CPG business is on schedule shares, so we get very good visibility and on prior calls, we talked about that. We thought that improve because when customer said they were going to take a certain amount they did and that’s continued forward. We’ve had very good design wins for the second half to drive a large amount of business. So, from a visibility perspective, I’d say, it’s good what’s been from a macro picture. Bob or Eric, if you guys want to comment.
Bob Van Buskirk: From MPG perspective, as I indicated earlier, our quarter to date orders and shipments have been very strong and we typically have turns business during the quarter. But because of our current market outlook, we’re actually assuming a lower turn revenue as a percent of our projected revenue in this quarter. So, I guess, in one case, if we were to go back historical more typical turns you could even see some upside to our outlook. But right now, we’re actually modeling pretty low percentage in terms to make that sequential growth we pointed.
Jaeson Schmidt – Craig-Hallum: All right. Thanks. I’ll jump back in the queue.
Bob Bruggeworth: Thank you.
Operator: Thank you. And our next question comes from the line of Uche Orji with UBS. Go ahead, please.
Parag Agarwal - UBS: Hi. This is Parag for Uche. Thanks for taking my question. First question, about your long-term model of 42% gross margin. Can you explain what will be the key drivers of the gross margin increase and what would be the revenue expectation for that margin?
Bob Bruggeworth: Yeah. As we demonstrated the quarter diversification plays very heavily into our improvements in gross margin. We said that the our non-Nokia business grew 17.3% sequentially and, we did see nice sequentially gross margin growth. We also said that, if you take out the impact of transceivers who are already at the 42% gross margin the company. And we’ve been indicating on previous conference calls that all of the new products that the company has been releasing for the past year have been accretive to company averages. And I think we’re beginning to see the impact of these new products on the company’s operating performance. And I guess, finally, if you look at our contribution margin on sales growth of around $10 million quarter-over-quarter, we had pushing 70% fall-through on that from a contribution margin standpoint. So those are all just data points, I think directionally of where we think a gross margin is ultimately heading RFMD.
Parag Agarwal - UBS: Okay. And secondly coming to the OpEx part of the equation, you indicated that OpEx is going to increase going forward. So is that OpEx increase driven by additional hiring or the wages are going up, or could you provide more color on what is driving that OpEx to increase?
Dean Priddy: Yes. I’m going take it. What’s driving the OpEx, some of that increase this quarter and on the prior conference calls we mentioned that we were turning back on our 401k match and also along with the returning to give our employees merit increases. So that’s some of that increase that you’re starting to see, now merits for us will be spread out throughout the fiscal year. In addition to that, yes, we are doing some selective hiring to again make investments in R&D to continue to drive our topline. But I can’t tell you the expense growth we expect to be significantly less than our revenue growth.
Bob Bruggeworth: Yeah. We believe the way the industry leading growth and profitability through investment and in particular R&D investment in the business, then we believe that we lead our peer group in research and development and we don’t see ourselves cutting back on that trend, continue to invest heavily in research and development.
Parag Agarwal - UBS: Okay. And my last question, you talked about SmartEnergy, what percentage of revenue is SmartEnergy till now?
Bob Bruggeworth: What we said about SmartEnergy in MPG is that, we’ve said that it’s been doubling year-over-year and we’ve also said that, we thought in FY ‘10 we would exit the year on about the $7 to $10 million run rate and that, in FY ‘11, that number could get as high as $15 million plus on a run rate basis. But we feel pretty good about the growth in SmartEnergy and that all comes to us at very accretive margins to the corporate target. So we’re very pleased with the our positioning and the ramp in that market.
Parag Agarwal - UBS: Thank you very much, guys.
Bob Bruggeworth: Thank you.
Dean Priddy: Thanks.
Operator: Our next question comes from the line of Todd Koffman with Raymond James. Go ahead, please.
Todd Koffman – Raymond James: Thank you very much. Congratulations on the strong results. Could you share in the March quarter, what the transceiver revenue contribution was?
Dean Priddy: Yeah. We said for the past two to three quarter, it’s been between 10% and 15% of revenue and it was a little closer to the 15% range in the, in the March quarter.
Todd Koffman – Raymond James: And unrelated when you called out the decline in the dependence of your top customer, I guess, you said below 50% in the March quarter. And I thought you said 17% sequential growth in other customers. Do you now have a number of other 10% customers and if yes, how many 10% customers aside from that could you have?
Dean Priddy: I think the good news is that the growth was from a very diversified customer base and no single customer really dominated the growth profile. Within MPG, we had one customer that was 10% of revenue, just barely and in CPG, we had two customers that were 10% or greater than revenue.
Todd Koffman – Raymond James: Thank you very much. Good luck.
Dean Priddy: Thanks, Todd.
Operator: Thank you. And our next question comes from the line of Venkatesh Nathamuni with JP Morgan. Go ahead, please.
Venkatesh Nathamuni – JP Morgan: Hi. Yes. Thanks, guys. Very good results, just wanted to talk about the fact that your revenue has done much better than your expectations and guidance. Given that your growing revenues and your outlook is also pretty positive, do you believe that you have enough capacity for revenue growth? I mean, what is your utilization in the March quarter and what do you expect it to be going forward?
Bob Bruggeworth: Thanks, Venk. I appreciate the comments, sir. As far as our utilization in our gas fabs, we ran in the low 80s. So we still have lot of capacity there and as you know, we rely on outsource to supplement our own internal assembly and so we got plenty of capacity to continue to support the growth expectations that we have and also as we continue to convert a larger percentage of our portfolio in the CPG business into our current dye shrink technology platforms, that will continue to give us capacity. I think, we’re still not understood by a lot of people that we were able to pick up the Filtronics fab in the U.K. few years ago, without bringing on the depreciation and you know, that’s a large facility that is still underutilized and that’s why we are starting to see the margin improvement and we have been talking about that for some time and now you are starting to see that.
Venkatesh Nathamuni – JP Morgan: Okay. Great. So, from the standpoint of CapEx, given that your CapEx budget has been quite substantially over the last few quarters. You don’t expect to see CapEx grow dramatically in the next few quarters or so.
Bob Bruggeworth: No. We don’t -- I think in Dean’s opening comments, he commented 2% to 3% of sales, up slightly from FY’10, we currently don’t see any needs for any fab capacity.
Venkatesh Nathamuni – JP Morgan: Okay. Great. That’s helpful. And then on the CPG side of the business, Eric, given your favorable outlook for the rest of the year, what is your assumption for unit growth for handsets in overall and then in particular what are your expectations for 3G unit costs for the rest of calendar ‘10?
Eric Creviston: Yeah. We are, we are currently modeling about 10 to 15% year-over-year growth in units and from certain customer forecasts and just outlook, we are going to some of the channel partners, that could definitely exceed that. I think that’s the good range for planning on it. Certainly, off, as we said it’s is off to a great start in March. So we’re ahead of the game a bit and 3G. I don’t have the broke out separately in front of me but it’s definitely more than that, of course. And I know, that smartphone growth, for example, we are expecting something in the range of 40% year-over-year growth and that’s driving a lot of confidence, of course.
Venkatesh Nathamuni – JP Morgan: Okay. Terrific. That is very helpful. And then, you know, one of the questions, in terms of your guidance, now given that you are talking about visibility being pretty good and has been good for the last couple of quarters. Is there any reason why you’ve stopped giving specific revenue guidance for the June quarter?
Dean Priddy: Well, actually we feel like we give a great deal of assistance to our analysts and investors and putting together our model for the company both for the longer term, for the fiscal year and also for the nearer term. So, you know we were pretty specific about growth opportunities, both through June-quarter and year-over-year. We talked about margin guidance. We talked about free cash flow guidance and also revenue and EPS guidance for the entire fiscal year being up over fiscal year ‘10. So while we maybe don’t give precise ranges for revenue or precise ranges for EPS, we probably give about as much as anybody in our space in terms of qualitative guidance or outlook to help you, that helps you construct your model.
Venkatesh Nathamuni – JP Morgan: Okay. Yeah. Actually that’s very true. Appreciate it and excellent quarter, guys.
Eric Creviston: Thank you. 
Dean Priddy: Thanks. 
Operator: Thank you. And our next question comes from the line of Tim Luke with Barclays Capital Incorporated. Go ahead, please.
Tim Luke – Barclays Capital Incorporated: Thanks and well done on your execution. With respect to these assistant to gross margins, could you give us some of the things you think may be key as factors are moving that as you go through the year. What are some of the key factors in guiding it flat for the coming quarter and as you go through the year?
Bob Bruggeworth: Fortunately we have got, the considerable amount of tail winds in our direction regarding gross margin, especially as some of the transceiver revenue begins to roll off. You know, it is more diversified customer base. It is more diversified product base. It is the fact that we did pick up the Filtronic facility for a very low price and it is the fully depreciated facility. Its the fact that the MPG, end markets are beginning to recover and we are already at 42% gross margin in our core business which, which is continuing to grow and that was up sequentially as well. So, from a gross margin standpoint, we feel very good. We also feel that ASP erosion will likely be a bit muted this year compared to some previous years. So I think all the things together, you know we are going to have to continue to work hard on yields and continue to work hard on the good operational excellence that we have been achieving and we definitely see room for to achieve our long term target of 42% gross margin for the entire company.
Tim Luke – Barclays Capital Incorporated: Why would it be flat in the coming quarter?
Dean Priddy: Well, I mentioned that the transceiver could tick up during the quarter. So it would really boil down to mix and while not providing specific guidance, last quarter, we said you know you can construct scenarios where margins would be up flat or down slightly depending on product mix involvement. So if we get a little favorability and mix, we certainly would rule it out but we’re not committing to it today.
Tim Luke – Barclays Capital Incorporated: And Eric, I just wanted to talk about, I think you were inferring that you felt that June would be having had a stronger than seasonal first quarter, that June for your business would be flat. Was that correct?
Eric Creviston: Well, we were talking about the handset market, I think rather than our business specifically. If you look back historically over the last 10 years, it was up 3% to 8% and at that kind of range over March and I said, I wouldn’t expect it to be like given that March was so strong, flat, may be a couple of percentage, what we see in the market and I guess for our starting, you would assume our business to do the same.
Dean Priddy: Yes. We actually offered, Tim, We said that we were booked for – fully booked for growth and listening to BVB’s, Bob Van Buskirk comments, Tim, we do expect some turns business in his business so that will give you some sense of the strength of the backlog in the total business going into the June quarter.
Tim Luke – Barclays Capital Incorporated: As what you see now you would expect a fairly seasonal second half to the calendar year or how would you think about it and may be as well, I was just wondering, in describing Nokia moving to on 50% in the most recent quarter, do you have a sense as to what that will be as you exit, exit the year?
Dean Priddy: So it will be less than that as we exit the year. I don’t think we are ready to peg a specific target on that but obviously we have internal targets in terms of our diversification, I mean. We continue to set a long-term goal of staying around 50% share of Nokia. We believe we’re going to be their number one supplier. We are working very hard to continue to earn their business. So we are not trying to drive Nokia down or trying to go outside of Nokia, of course. So those are our goals, that’s going to continue and I think the first half of the question was about the second half seasonality in the handset market and as we’ve been saying traditional seasonality, I think, you can’t really rely on the old data, March-quarter seasonality, that’s really the question. I think, in terms of June over March, September, December, those were modeling as kind of typical seasonality as the question is whether March will be strong again or down 10% to 15% next year and it’s a way to really to tell that but I would say with the trends that we’re saying, China is definitely helping to mute the ups and downs and keep a lower level market in the first quarter and quarter throughout the year.
Tim Luke – Barclays Capital Incorporated: If I may, it sounds like you live very well in China and with MediaTek, do you have any color you may be or possibly been taking share from as you seen growth there and what are you see as the profile of some of these players like (inaudible) in market. Thank you, so much.
Bob Bruggeworth: You know for us when it comes to China, it is about product leadership really and breathe in the product portfolio. We talked before about our 71xx series apart, that come out, which allow our customers to do anything from dual band GPRS up to a quad band edge with one phone layout and to do that kind of scale in R&D to provide that kind of breath to portfolio, I think, that’s lending lot of accordance to the, bigger getting bigger sort of analogy, I guess. So we see a consolidation on big players in China just as every where else. I think, we’re also seeing at the grey market, it’s a lot bigger than some people have sized probably as well. There’s just a lot of opportunity out there right now for everyone.
Tim Luke – Barclays Capital Incorporated: Thanks so much, guys. 
Bob Bruggeworth: Thanks, Tim.
Operator: Thank you. Our next question comes from the line of Ittai Kidron with Oppenheimer. Go ahead, please.
Ittai Kidron – Oppenheimer: Thank you and congratulation, guys on a great quarter.
Bob Bruggeworth: Thank you.
Ittai Kidron – Oppenheimer: Wanted to follow-up on the flourish question, Dean, can you just some color on what kind of a step down should we assume or model between June and September and do you believe that you will be able to drive your overall revenues sequentially up from June to September or given the [flourish] step down, that need to be a step down in the overall revenue as well.
Eric Creviston: I will help, Dean, out a little bit. I think, what we said is that it wouldn’t be down September to June or from June to September, what we said is the ramp down will begin in September. It could be flat, could be up slightly but I mean, what we’re saying is from the customer forecast we are getting today, that is when the ramp down begins.
Ittai Kidron – Oppenheimer: Okay. And, looking at that forecast, anywhere where you do see a big step down or although plans, it didn’t really happened yet as mentioned before but is there a big step down at some point we need to model?
Dean Priddy: I think you look, you look at it over a four quarter or so period beginning in the September quarter. So you are on the December quarter, you could see a meaningful drop in the [flourish] revenue perhaps representing about a penny in earnings per share and obviously by then we are talking about the SSPL business, contributing at least that or more in terms of the contribution and the growth in the MPG business contributing at least that or more. So, while the clearance revenue is ramping down, it doesn’t have that big of an impact on EPS or cash flow. It is just that the revenue is going to be fairly substantial over a four quarter period of time. But as you remember, we said that we would grow revenue and EPS year-over-year.
Bob Bruggeworth: Yeah, just to summarize that, it is we are not expecting an overall company significant decline in revenue. I mean, Eric talked about he has lots of room to grow his market share in China. He has talked about SSPL. Bob has talked about his growth drivers in MPG.
Ittai Kidron – Oppenheimer: Okay. And can you talk about, you know, not to be a big -- congratulations on the guidance but with 42% gross margin in your core business, why can we not expect 20% operating margin to come along with that.
Eric Creviston: Actually, that’s a great question, Ittai. And I think if you look at the fall through that we have demonstrated plus we have been on record to say 60%, you just take the last quarter and you add $15 million right around there, maybe a little bit more, you get to your 20%, so it’s absolutely a possibility.
Ittai Kidron – Oppenheimer: Okay. 
Dean Priddy: We are not said any sale on what operating margin could be, in any given quarter.
Ittai Kidron – Oppenheimer: Okay. And lastly with regard to the revenue upside, if you have to give me the one factor that really outperformed the most relative to your expectations, what was that?
Dean Priddy: It was Asia, 3G and MPG
Bob Bruggeworth: Yeah. I would say broad based.
Ittai Kidron – Oppenheimer: Okay. Very good guys. Congratulations and good luck.
Bob Bruggeworth: Thank you, Ittai.
Operator: Thank you. Our next question comes from the line of Steve Ferranti with Stephens Incorporated. Go ahead, please.
Steve Ferranti – Stephens Incorporated: Thank you. Hi guys, nice job on the quarter.
Bob Bruggeworth: Thanks.
Dean Priddy: Thank you.
Steve Ferranti – Stephens Incorporated: A couple of quick clarifications for me and apologize if this was covered but Dean as we think about the OpEx increase, in fiscal ‘11, just wondering about the shape factor, what that might look like whether it is a sort of one time step up in June and it flattens or do you think it is sort of a sequential, you know, sequentially on going uptick throughout the year?
Dean Priddy: Well, I would expect that what you see a bit of an uptick in the June quarter, it very well flattens out for the rest of year. So we are looking at something around a 5% or so type year-over-year increase in operating expenses, certainly less than the type of earnings per share growth that we anticipate.
Steve Ferranti – Stephens Incorporated: Okay. That’s very helpful. And then going back to your comments about exiting the year with Nokia less than 50% customer, was that figure inclusive of the transceiver business or did you, was that excluding transceivers?
Dean Priddy: It was an all in number.
Steve Ferranti – Stephens Incorporated: Okay. So, as -- you know obviously as that transceiver business declined that should certainly help your diversification efforts as well.
Dean Priddy: It should help our diversification and our product mix going forward.
Steve Ferranti – Stephens Incorporated: Great. Great and one last one for me, the signaling conditioning products, in the way would you put those in terms of margins relative to corporate average? Are they accretive in line or I imagine they’re not dilutive to corporate average but any color you can give us there?
Dean Priddy: Yeah. They’re certainly accretive between the corporate average and a MPG margin. They are between the two today, closer to the MPG, sort of, structure today. I would be ramping into some very high volume platform, I think it will be close to the corporate average but definitely accretive and at the high end of what we are getting in CPG for sure.
Steve Ferranti – Stephens Incorporated: Great. That’s all I had. Thanks, guys.
Dean Priddy: Very nice.
Bob Bruggeworth: Thank you.
Operator: Thank you. And our next question comes from the line of Aaron Husock with Lanexa Global. Go ahead, please.
Aaron Husock – Lanexa Global: Great. Thank you for taking my question. I had a quick clarification, first if I run through the math, assuming transceivers run 14% of sales and you said that x transceivers is 17% operating margin in the quarter. Doesn’t that imply that the transceiver operating margin was mid-20s? Am I imagine that math right?
Bob Bruggeworth: I don’t know what expenses you are doing. I think you are high, way high.
Aaron Husock – Lanexa Global: If the operating margin overall was 18.3 and then x transceivers, the operating margin was 17. It implies a pretty big operating margin for players.
Dean Priddy: Yeah. We don’t leave any expenses in either cost of goods sold or in the transceiver product line even though they’re really are some attributable to them because if that business were to disappear tomorrow, we don’t assume those expenses would immediately go away. So I think that’s probably where a little bit of a disconnect is.
Eric Creviston: Yeah. You are probably going to look at that in moreover a contribution margin error maybe but something. We are not trying to play games to give you an idea of our core business.
Aaron Husock – Lanexa Global: Okay. That makes sense. If you can talk a little bit more about China. I mean, clearly you had a really strong quarter in March in China. Seasonality in that market is a little bit different. Are you currently expecting your China CPG business to grow sequentially in the June quarter?
Eric Creviston: No. We are not currently expecting that. I think from what you are hearing from MediaTek and others in the China market, you would expect it seasonality to go counter to the western seasonality and you would expected to be down in June. And that’s what we are currently planning.
Bob Bruggeworth: Yeah. I will add one thing. I heard about the strength in China several comparable different analysts and different questions. But it was really strength in Asia and so there were other customers, other than Chinese customers or channel partners that we saw strength add during the quarter.
Eric Creviston: Yeah. It’s complicated by a few factors, of course overall when you look at China domestic consumption, which is very different from what our Chinese customers are looking at buying from us, because more than half of their business is now exports buy into lot of other regions. For example, American, Indian, Middle East and so you’ve got to kind of look at two separate things there. And when you look at China domestic consumption you really have to – way until we get through maybe holiday similar to [linear] last year of course after there. Something which great and we had a very strong March. But let’s see, I mean after the May day holiday, we sale through is there and it will tell us kind of how June will turn out in China.
Aaron Husock – Lanexa Global: Okay. Great. Maybe just one last one for me, if you look at MPG in the June quarter, are there any end markets within MPG is standout as particularly robust?
Bob Van Buskirk: Yeah. This is Bob Van Buskirk to begin, I think that the full recovery of our cable amplifier business looks like it’s driving front of us. It was the market down when into the downturn first and maybe coming out last. But it does in fact, look like it’s going to be pretty strong in the June quarter. We also have what we mentioned other areas I think the whole SmartEnergy AMI will continue some strength. Our point-to-point business, it’s also going to show some strength. And overall our defense business has grown quite nicely year-over-year, we expect it to grow in June. But I would say if I had to take one end market that’s going to show the most strength especially, sequentially would be cable.
Aaron Husock – Lanexa Global: Great. Thank you.
Bob Van Buskirk:
 :
Operator: Thank you. And our next question comes from the line of Nathan Johnson with Pacific Crest. Go ahead, please.
Nathan Johnson – Pacific Crest: Hi. Thanks for taking my question. A just quick one for me, seemed like your largest customer appeared to build a little bit of inventory during the quarter. I was wonder if that has affected the order pattern that you guys have seen so far into the June quarter or may be I’m over thinking that one a little bit?
Bob Bruggeworth: Yeah. It’s -- I think without mentioning any customer specific strength. I think we just say that in general, I think they are probably work a couple of weeks of inventory build, which previous backup to maybe normal, overall on the hand set channel and no question some customers might be ahead above there is some terms a building that inventory. But I think that’s all base into our current outlook that we are telling you now.
Nathan Johnson – Pacific Crest: It’s a really just coming off a base of maybe a little bit over lean inventory and now you expect it to kind of continue at this levels going forward.
Dean Priddy: Yeah. But again, just to be clear it’s many of our large customers and our largest one, we are in inventory hub, so at least from a component perspective, that inventory still sits on our books.
Nathan Johnson – Pacific Crest: Sure. Right. I guess I was looking at it from finished goods inventory product orient?
Dean Priddy: Right. I want to make four of others that may not have been that was clear.
Nathan Johnson – Pacific Crest: Got it. Appreciate it.
Operator: Thank you. And our next question comes from the line of Tore Svanberg with Thomas Weisel Partners. Go ahead, please.
Tore Svanberg – Thomas Weisel Partners: Yes. Good quarter. I just have questions, a little bit scattered, I apologize. But here first of all, could you discuss your lead times and is your turns assumption for the quarter just plainly being conservative or does it have to do with your lead times as well?
Bob Bruggeworth: As far as our lead times go, they really hasn’t been any change. And again, the vast majority of our cellular business is on inventory, how so we don’t quote lead times. They are business is done, they give us production plans and we make sure we have been in our products on their shelves to go build production. So our lead times really have changed. As far as being conservative in our turns business I think, Bob, just commented he got strong backlog right now, we are still expecting turns of. At the end of the quarter, we will find out what happened. But I don’t feel like we are adjusting any of our thinking for lead times.
Tore Svanberg – Thomas Weisel Partners: Very good. A question for Eric, Eric can you talk about PowerSmart, when should that business start ramping and can you maybe give us an example on how destructive that platform can be in the market place?
Eric Creviston: Sure I would love to. Thanks for the question. PowerSmart is progressing extremely well and for those that haven’t seen the announcements and so forth, it is a new product category, where we have a truly converged multimode platform, where we have a RF power cord that essentially combines the power of the RF power amplifier, power management with the power amplifier itself into one integrated core which allows a lot of flexibility. And allows a lot of platform capability for the baseband manufacturers and their end customers of course. So you can build a product which can operate over many, many different modes and advance very, very simply. It safes about 35 to 40%, in terms of area, in the board and it also has performance in all modes which is best in class. So that’s why we think it is going to be very disruptive. We are making great progress as I said, we are actually ahead of our internal schedule, there in terms of R&D. The solution is now FTA capable and we are working with multiple OEMs as well as multiple baseband channel providers to make sure we ramp within this fiscal year.
Tore Svanberg – Thomas Weisel Partners: Great. And final question for Dean, Dean, your inventories were up very margin at this quarter. How should we think about inventories stay in the June-quarter? Thank you.
Dean Priddy: Yeah. I would expect inventories to be flattish during the June-quarter, perhaps with some slight improvement in inventory turns.
Tore Svanberg – Thomas Weisel Partners: Great. Thank you again.
Dean Priddy: Thanks.
Operator: Thank you. Our next question comes from the line of Mike Burden with FBN Securities. Go ahead, please.
Mike Burden – FBN Securities: Hey, guys. Congratulations on the strong execution. Most have been asked but on PowerSmart, I just want to follow up on that, Eric. How many customers are you working with now and given that fairly significant change in the architecture, I guess relative to your specificity on the timing of the ramp, are you already getting design wins or should we start expecting should we expect to start hearing about them.
Eric Creviston: That’s actually a very good question. You are right it is a significant change in the architecture. So it is something that does require a little longer design in cycle than normal. I can tell you that maybe without identifying, exactly which or how many OEMs are working with OEMs in all three regions. So in Europe and Asia and North America there are OEMs working with this. They are all of course targeting smarphone, multi-mode, sort of application, so. So there are in multiple OEMs very broad coverage. I think generally PowerSmart is part of our next phase of real diversification. If you think about historically we have done very well in Europe, both in terms of channel partners as well as OEMs. I think we proven now that we, we’ve been able to do well in Asia, both in terms of channel partners and in terms of OEMs there. And now we are really turning our eyes to North America and there’s clearly a lot of opportunities for us here in our own backyard and PowerSmart will be a big part of strategy here.
Mike Burden – FBN Securities: Okay. Following up, you talked about rapping at the end of this fiscal year and in the March-quarter, I guess. Is there I mean, is are you already on a – designed in cycle for that or is that just when the product going to be ready and….
Eric Creviston: Yeah. Good question. I’m sorry I didn’t catch that part of the question. We are already identified. We had design winds with actual OEM handset model numbers assign to them and ramp overall. So we are forecasts from our lead customer in terms of when they intend to ramp and it is, at the end of our fiscal year let’s assume March-quarter beginning to ramp up. 
Dean Priddy: People have built phones for this product.
Mike Burden – FBN Securities: Okay. Perfect. Thank again, guys. Congrats.
Eric Creviston: Thanks, Mike.
Operator: Thank you. And our next question comes from the line of Mark McKechnie with Broadpoint AmTech. Go ahead, please.
Stephen Patel – Broadpoint AmTech: Hi. This is Stephen Patel for Mark. Congratulations on the strong results. I had a question about I think it was late last year you mentioned being in the top two North America smartphone vendors in an 18 month time frame. Can you update us on how that is progressing and how meaningful that revenue might be in June and then later on as the year progresses? 
Eric Creviston: I think really the past two answers are very much in line with this question. Moving to North America is a real area of strategic focus for us here. We are aligning our product leadership goals our personnel and organization all getting lined up toward driving into North American customers. And I don’t think you will see a significant change in the June-quarter of this calendar year if that’s what you are referring to. But throughout this year, we will continue to gain design momentum. And then we will see meaningful production really, the end of this fiscal year, I think it’s more of a next fiscal year storage when you begin to see more contribution from this product segment. I should say from this customer segment. It’s not by any means limited to power smart, by the way. I didn’t mean to imply that. That’s a clear product leadership opportunity for us, but there is a very broad offering of products that we are driving into this market.
Stephen Patel – Broadpoint AmTech: Okay. And then will you be in just one of those two customers this year or both?
Dean Priddy: So, I don’t think we probably want to put anymore resolution on things than we have.
Stephen Patel – Broadpoint AmTech: Okay. And then just one other question. Can you talk about any changes in customer mix for the June quarter and in particular, what percent of revenue was from China in the March quarter? And how much do you think China might be down in June?
Dean Priddy: We generally don’t break it out by region like to in the March quarter and in terms of how much it will be down in June, it is single digit percentage sequential. In line with what that market does, of course, we might do a little better than the market if the share continues the trajectory and so on but it’s single-digit kind of sequential down in June I would expect.
Stephen Patel – Broadpoint AmTech: Okay. And it is 15% to 20% of revenue the right ball part for revenue from China?
Dean Priddy: We are not disclosing specifics about regions.
Stephen Patel – Broadpoint AmTech: Okay. Appreciate it. Congrats on the quarter.
Dean Priddy: Thanks.
Operator: Thank you. And our next question comes from the line of Aalok Shah with D. A. Davidson. Go ahead, please.
Aalok Shah – D. A. Davidson: Hi, guys. I know everything has been asked but one quick question for Eric. Eric, do you think that the Polaris business you will probably see a big one-time kind of buy and then maybe a good steep drop off? I know someone asked about this earlier, but it is, could it potentially be that case where they just do a big buy and then maybe it would just see it trail off maybe in the near zero?
Eric Creviston: We -- for one thing, you know, again we don’t have a big buy type of a situation because we are on inventory hubs. So we see the actual production plans, get purchase orders and up into the last-time buy and that type of thing. So we see the eral production live. We see what the factories are putting to build and it’s not a Cliff. It’s about for to walk down. Also in the March quarter, another new handset ramped on platform. So we have ramping platforms for over two years that all those phones are going to stop in one quarter, they’re going to ramp down as well overtime. So, it is…
Aalok Shah – D. A. Davidson: So, Eric, that’s…
Eric Creviston: …that’s what we see today.
Aalok Shah – D. A. Davidson: Could this have longer legs to it, I mean given that they’ve had some issues themselves on some new platforms? Does it sound like maybe Q3 may be too conservative so to see the peak?
Eric Creviston: Well, it’s always possible of course. Any ramp down -- typically, the ramp downs actually happen later than everybody plans, but the forecast has remained relatively firm for a couple of quarters. So we are still expecting at the time that we will begin to see a downtick in September and fairly significant in December quarter of this year.
Aalok Shah – D. A. Davidson: Okay. Great. Thank you.
Bob Bruggeworth: Thank you.
Operator: Thank you. And ladies and gentlemen, that concludes our Q&A session for this conference. I would now like to turn call back to management for any closing statements.
Bob Bruggeworth: Thank you for listening to the call today night. We believe our March results clearly demonstrate both our ability to capture profitable growth across multiple markets and the expanding earnings power in RFMD’s new operating model. RFMD is a primary beneficiary of multi-year and global growth trend and we are using our unique competitive strength to capture a growing percentage of our customers business. We anticipate continued success against our long-term diversification in margin expansion goals and we are on track to deliver revenue and earnings growth in our fiscal 2011. Thank you and good night.
Operator: Ladies and gentlemen, this concludes the RF Micro Devices Q4 2010 conference call. If you would like to listen to a replay of today’s conference, please dial 800-406-7325 or 303-590-3030 with the pass code 4282022. ACT would like to thank you for your participation and you may now disconnect.